Operator: Good morning, and welcome to the Park-Ohio Holdings Corp. Fourth Quarter and Full Year 2025 Results Conference Call. At this time, all participants are in a listen-only mode. After the presentation, the company will conduct a question-and-answer session. Today's conference is also being recorded. If you have any objections, you may disconnect at this time. Before we get started, I want to remind everyone that certain statements made on today's call may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties may be found in the earnings release as well as in the company's 2024 10-K, which was filed on March 6, 2025, with the SEC. Additionally, the company may discuss adjusted EPS, adjusted operating income, and EBITDA as defined on a continuing operations or consolidated basis. These metrics are not measures of performance under generally accepted accounting principles. For reconciliation of EPS to adjusted EPS, operating income to adjusted operating income, and net income attributable to Park-Ohio Holdings Corp. common shareholders to EBITDA as defined, please refer to the company's recent earnings release. I will now turn the conference over to Mr. Matthew V. Crawford, Chairman, President, and CEO. Please proceed, Mr. Crawford.
Matthew V. Crawford: Great. Thank you, Daryl, and welcome, everyone, to our end of 2025 fourth quarter conference call. I am very proud of our Park-Ohio Holdings Corp. team throughout 2025 and especially during the fourth quarter. Strong cost management combined with the benefit of improved productivity in key locations offset demand volatility in many industrial end markets, caused by tariffs and general economic uncertainty. This uncertainty also delayed new business launches throughout the year and some new business awards in a few cases. Also during the fourth quarter, we made cash management a priority and met our debt reduction goal of $40,000,000. Most importantly, though, we focused on our long-term goals regarding asset allocation, durable growth, and deleveraging. Regarding asset allocation, we continue to invest above our maintenance capital levels as we improve productivity and lower our cost to serve through automation, information technology, and vertical integration. While we continue this journey through 2026 and beyond, we are beginning to see the positive impacts on new business and improved profit flow-through. Our growth capital investment, which represented more than a third of our total capital expense, will not only underpin our significant growth in 2026, but is also targeted in products and services where we have above-average margins and a sustainable competitive advantage. Lastly, while we are still above our target—
Patrick W. Fogarty: We have some music—
Matthew V. Crawford: —there, Daryl. Are we okay, or did everyone hear that last sentence?
Operator: You are okay. I apologize for the technical difficulties.
Matthew V. Crawford: Okay. I am going to reread the last couple sentences just in case. I will read the last paragraph. I apologize if anyone heard music there for a few seconds. Most importantly, we focused on our long-term goals regarding asset allocation, durable growth, and deleveraging. Regarding asset allocation, we continue to invest above our maintenance capital levels as we improve productivity and lower our cost to serve, through automation, information technology, and vertical integration. While we continue this journey through 2026 and beyond, we are beginning to see the positive impacts on new business and improved profit flow-through. Our growth capital investment, which represented more than a third of our total capital expense, will not only underpin our significant growth in 2026, but is also targeted in products and services where we have above-average margins and a sustainable competitive advantage. Lastly, while we are still above our target net debt leverage ratio, our cash performance in the fourth quarter and the investment we have made toward 2026 growth, including additional working capital, should put us in a good position to take a step forward in this area. So we start 2026 extremely excited to be rewarded with above-average growth, and with solid incremental operating leverage in all profitability metrics. Thank you for your support, and thank you to all of our outstanding partners in our business. Now over to Pat to cover the quarter results.
Patrick W. Fogarty: Thank you, Matt, and good morning. Overall, we are pleased with our accomplishments in 2025, many of which will support future sales growth and drive improved operating margin and free cash flow. Our accomplishments during the year included the following. First, we refinanced our $350,000,000 senior notes with new senior secured notes maturing in 2030. In addition, we amended our revolving credit agreement to extend the maturity date by five years. Refinancing completed during 2025 provides us with the capital structure to support our sales growth and investment in future years. Second, we invested $12,000,000 in information technology during the year and began the implementation of new ERP systems in Supply Technologies and in our Industrial Equipment Group. We expect significant benefits from these investments, including lower working capital levels, lower operating costs, and improved information flow to and from our supply base and our customers. In Supply Technologies, we broke ground on a new state-of-the-art North American distribution center which will be operational this year. This important investment will significantly improve how we service our customers and provide best-in-class warehouse operations with lower costs, lower working capital, automated sorting and kitting, and additional value-added services to support our customer. Also, in our fastener manufacturing business, we invested in automation equipment to improve plant floor productivity and operating margins in several locations. Our capital investments in this business are focused on increasing production capacity to meet the strong demand for our self-piercing and clinch products. In Assembly Components, we won new business during the year, rolling over $40,000,000 of incremental annual sales which will launch in the second half of this year and continue through 2027. We also implemented product price increases as well as plant floor improvements to increase profitability in 2026. And finally, in our industrial equipment business, we achieved record annual bookings totaling $217,000,000, including a record $47,000,000 reduction heating order placed by a leading steel producer. As a result, our backlogs were $180,000,000 at December 31, an increase of 24% over the prior year levels.
Patrick W. Fogarty: Before I discuss our fourth quarter and full-year results, I want to comment on our 2026 guidance. As outlined in our press release, we expect consolidated revenues to grow to $1,675,000,000 to $1,710,000,000, an increase of 5% to 7% over 2025 consolidated revenues, driven by sales growth in each business segment. We expect adjusted earnings per share to increase to $2.90 to $3.20 per diluted share, an increase of 7% to 19% year over year. EBITDA, as defined, to range from 8% to 9% of net sales and we expect full-year free cash flow to range from $20,000,000 to $30,000,000. In our Supply Technologies segment, demand in power sports, industrial equipment, and heavy-duty truck end markets are expected to recover from low production levels in 2025, and we expect continued sales growth from electrical distribution customers supporting the AI data center expansion and continued strong growth from semiconductor, aerospace, defense, and agriculture end markets. Also, our fastener manufacturing business will continue to expand its products into new applications and will benefit from the continued use of lightweight materials and electrification.
Patrick W. Fogarty: In our Assembly Components business segment, sales of our molded and extruded rubber and fuel-related products are expected to grow year over year, driven by increased production volumes and business launched in 2025 and improved customer pricing. In our Engineered Products segment, revenues are expected to be at record levels in 2026 driven by strong new equipment backlogs in many end markets including oil and gas, steel, and aerospace, and continued growth in global aftermarket demand. In addition, our forging equipment business recently won a new equipment order with an aerospace customer, and strong aftermarket order activity will drive an increase in 2026 revenues. Our Engineered Products segment is also seeing increased order activity from customers supporting the expansion of AI data centers. For example, we recently were awarded new business for power generation products including transformers and power generators used to control and regulate power to data centers. And we are actively responding to strong demand for our forged products from turbine generator customers who also provide power for data centers. Turning now to our fourth quarter and full-year results. Our fourth quarter was highlighted by operating cash flow of $49,000,000 and free cash flow of $36,000,000. We used our free cash flow and excess cash to reduce long-term debt by $40,000,000 during the quarter. Our full-year operating cash flow increased $42,000,000 from $35,000,000 in 2024, with the increase driven by lower working capital usage compared to 2024. CapEx totaled $40,000,000 in 2025 with investments in information technology totaling over $12,000,000 during the year. Consolidated fourth quarter net sales were $395,000,000, an increase of 2% year over year. The sales growth was driven by higher sales in our Supply Technologies and Assembly Components segments. Engineered Products demand was stable year over year as growth in our Industrial Equipment Group offset lower sales levels in our Forged and Machine Products Group. Full-year sales totaled $1,600,000,000, a decline of 4% from 2024 levels, with the decline occurring primarily in North American industrial end markets.
Patrick W. Fogarty: Our fourth quarter gross margin is 17.3%, which was 70 basis points higher than a year ago, resulting from higher sales levels and implemented profit improvement initiatives across several of our businesses. Full-year gross margins were 17% in 2025, which were comparable to 2024 gross margins despite the lower sales levels. Excluding special items in both periods, fourth quarter adjusted operating income increased 4% to $20,000,000 compared to $19,000,000 in the 2024 period. Special items in the fourth quarter included a non-cash write-off of certain assets in our Forged and Machine Products Group, totaling $8,900,000 to align our investments in tooling and production assets with current business levels. Our effective tax rate was 12% in 2025, which is lower than the U.S. statutory tax rate due to research and development tax credits recognized during the year. We expect a more normalized tax rate in 2026 ranging from 18% to 20%. Adjusted earnings per share in the fourth quarter was $0.65 per diluted share compared to $0.67 in 2024, with the decrease due primarily to higher interest expense in the 2025 quarter. Our full-year adjusted earnings per share was $2.70 compared to $3.59 in 2024. And with respect to our segment results, in Supply Technologies, fourth quarter sales were $187,000,000 compared to $182,000,000 in the 2024 period, and operating income increased 31% to $21,000,000 compared to $16,000,000 last year. Operating income margin was up 240 basis points and was 11.1% of sales compared to 8.7% last year. The improved year-over-year fourth quarter results in 2025 were driven by higher sales and favorable impact of cost control measures taken during the quarter. Full-year sales in this segment were $748,000,000 compared to $776,000,000 in 2024, driven by lower customer demand in certain end markets, primarily in North America, including power sports, heavy-duty truck and bus, and industrial and agricultural equipment, offset by continued strong demand in data center, electrical, and semiconductor end markets. Full-year operating income in this segment was $72,000,000 compared to $75,000,000 in 2024. Operating margin was 9.7% in both periods, due to our efforts to reduce variable operating costs given lower demand levels. In our Assembly Components segment, fourth quarter sales were $92,000,000, up 2% from $90,000,000 a year ago. Adjusted operating income was stable at approximately $4,000,000 in both periods. Full-year sales in this segment were $381,000,000 compared to $399,000,000 last year. Lower unit volumes on certain auto platforms and production delays on new business launches impacted revenues during the year. Full-year adjusted operating income was $22,000,000 in 2025, compared to $27,000,000 in 2024, with the decrease driven by the lower unit volumes. We expect our operating margins in this segment to improve, resulting from expanding our rubber mixing, production plant floor automation, and improved margin flow-through from increased sales. In Engineered Products, fourth quarter sales were approximately $116,000,000 in both 2025 and 2024. We continue to see strong sales in our industrial equipment business, which grew 5% but was offset by lower sales in our Forged and Machined Products business. Fourth quarter adjusted operating income decreased to $3,000,000 due to lower profitability from the Forged and Machine Products Group. Full-year sales in this segment were $471,000,000 compared to $482,000,000 in 2024. The decrease was driven primarily by the closure of a small manufacturing operation in 2024 and lower demand from the railcar end market, which impacted our Forged and Machine Products Group. We continue to see growth in our industrial equipment business in 2025, driven by 7% growth in our aftermarket business. Adjusted operating income was $17,000,000 compared to $21,000,000 last year, with the decrease driven by lower sales levels and lower profitability in our Forged and Machine Products business. We expect significant improvement in operating profits in this segment in 2026, based on our strong new equipment backlogs, aftermarket demand, and operational improvements made in several of our plants. Now I will turn the call back over to Matt.
Matthew V. Crawford: Great. Thank you, Pat. Before I turn it over to questions, I do want to emphasize Pat's comments around the fourth quarter. We returned to growth in the fourth quarter. Year over year, we were down a bit, but as I mentioned, things were a bit choppy earlier in the year regarding tariffs and global uncertainty in the industrial market. So getting back to growth in the fourth quarter is great. We plan on building on that in 2026 meaningfully. I also want to point out that we continue to absorb some expenses related to some of the IT transformation, new business launches, etcetera. So I think we will begin to see payback in 2026 and be able to build on that going forward as well. So some of the improvements, I think, are being masked by that. But we are very excited to demonstrate a big step forward in 2026. With that, I will turn it over and answer some questions.
Operator: Thank you. We will now be conducting a question-and-answer session. If you would like to ask a question, you may press star 1 on your telephone keypad. You may press star 2 to remove your question from the queue. One moment please while we poll for your questions. Our first questions come from the line of Steve Barger with KeyBanc Capital Markets. Please proceed with your questions.
Jacob Moore: Hi. Good morning. This is Jacob Moore on for Steve Barger today. Thanks for taking our questions. Good morning. I just wanted to start with the guide. Specifically the 5% to 7% sales growth. I see at least one mention of pricing in the slide. So can we just begin with your assumptions for price versus volume in that overall sales number? Then maybe you could finish with a by-segment view of growth contributions for the year.
Patrick W. Fogarty: Sure. This is Pat. The price increases that are included in our 2026 sales guidance is primarily in our Assembly Components group. And I would say it is a small part of the increase that we are seeing in revenues. We will see an increase in revenues relating to tariffs and the recovery of such tariffs with our customer base in our Supply Technologies segment. But I would say the majority, call it 75% of our growth in 2026, will be a result of production volume increases from our customers. And then relative to improvements in gross margin by business, I am going to refrain from giving any type of guidance on segment profitability in 2026 other than we expect improved flow-through in each of the business segments based on the increase in revenue that we are guiding to. So as we have experienced in 2025, and really for the last year and a half, our operating margins in both Assembly Components and Engineered Products group are below our expectations. And we expect improvement in each of those segments in 2026.
Matthew V. Crawford: Jacob, I want to add to that while I completely agree with Pat's comments. There are tactical pricing discussions going on across the business. As you can see, a lot of our backlogs are very strong. So we are quoting new business in multiple areas. And we are also making sure that we dissect our customer base and our current pricing models and standards coming into the new year. So every one of our business continues to be evaluated, and I could think of a dozen different pricing conversations going on right now. Much more tactical, I think, than we would have seen in the past. So I think to Pat's point, the growth leans heavily towards new business or expanded current relationships. You know, that does not mean a percent or two in our model is $25,000,000 or $30,000,000 in price increases. So those are happening consistently across the board on a more tactical basis.
Jacob Moore: Understood. That is really helpful. Thank you. And I want to dig into sales growth by segment as well, if you could comment on that.
Patrick W. Fogarty: Yeah. Once again, we will not comment on individual business segments. But I would say, as I mentioned in my comments, that our guidance on increased revenues are across the board. And so they vary across the board. Engineered Products will be at record sales levels in 2026. We see continued growth in Assembly Components based on new business that we have already launched. That new business will be at full production levels in 2026. And then in Supply Technologies, we have seen nice growth in the AI data center space, where our business is focused on the switchgear manufacturers, those customers that provide digital infrastructure around data centers. We are seeing nice growth in that business. For example, two years ago, we had very little revenue in that space. Today, revenues are approaching $150,000,000 annually with that end market. So we expect that to continue into 2026 and beyond.
Matthew V. Crawford: Jacob, I think that to Pat's point, we will see it across the board. AI and defense and power management really affecting Engineered Products and Supply Technologies. But we have talked consistently about the large $40,000,000 in new business that we have launched inside of Assembly Components. So, without commenting specifically, I think it should be relatively broad-based. I think it also depends. We have had significant backlogs in Engineered Products. As we can clear those backlogs, that should be a tailwind as well.
Jacob Moore: That is really good color. I appreciate it. And if I could just follow up with the last one here on free cash flow. I know you are guiding to $20,000,000 to $30,000,000. The last couple of years have been in the low single-digit millions. I know you have been investing, you highlighted, but it sounds like you still have a lot to juggle this year too. So I want to ask what makes you confident that you have turned the corner, that the asset base can start to consistently produce cash flows? And what is your confidence level in that guidance?
Matthew V. Crawford: Yes. Great question. Pat can give you a better answer. But I do want to comment. I talked earlier about volatility going back a couple years in the supply chain. Then I have talked, I think, about volatility in demand last year related to tariffs and global uncertainty. These last couple years have been really difficult to manage supply chain issues and demand issues. It has been not the best environment to predict the business needs of your customers and to manage your suppliers. So we have been heavy consistently, and I think we have been transparent on that, on working capital. I think as we come into 2026, whether it is some of the productivity tools we have talked about or whether it is just a little better visibility. I commented, I think, back in the second quarter call of last year, that while the sales were relatively stable year over year for the business, and let us use Supply Technologies as a kind of last mile; that is a good proxy for the economy. There was total turmoil under the hood in terms of end market. And aerospace and defense and AI was holding it up. Other key markets, most of the other key markets, were down. So that was a very difficult environment. We predict something slightly more, better visibility, and we are more prepared, I think, to handle it. So I think we can manage the business a little better on the cash side because of that. And, again, we are also going to begin to benefit from some of these data management tools as well. But it was a tough year last year to manage these things on top of investing heavily in the business.
Patrick W. Fogarty: And, Jacob, I would add that our free cash flow estimates are a result of increased profits but also lower working capital usage relative to every dollar of sales increase. So we still have some embedded working capital that we expect to harvest in 2026. But we expect that as a percentage of sales, our growth will not require us to invest in as much working capital as we have in the past.
Jacob Moore: Got it. Thank you very much. I will jump back in queue.
Operator: Thank you. Our next question comes from the line of Dave Storms with Stonegate.
David Joseph Storms: Good morning, and thank you for taking my questions.
Matthew V. Crawford: Morning, Dave.
David Joseph Storms: Wanted to just go back to the guide here, and maybe just get your thoughts on general cadence for 2026. Should we expect that it will be maybe a more typical seasonal year? Or is there anything that we should keep an eye out for that might throw that off?
Patrick W. Fogarty: I think we would expect a similar trend of sales in each business segment as we have in the past. So I do not see anything that would change the look of the individual quarters in 2026.
David Joseph Storms: That is perfect. Thank you. And then just wanted to kind of turn to the record backlog you have in EP. Is there anything more you can tell us about that? Maybe expected burn rate? Are there any outsized contracts in there that are going to demand a lot of focus, margin profile, anything like that would be very helpful.
Matthew V. Crawford: I do not think there is anything unusual in there. I would say that our expertise in managing large power has provided more opportunity across the industrial segment, including things like data centers and AI. So the breadth of opportunity, I think, has grown in what 30 years ago was largely focused on the steel market and some related forming markets and hardening markets. So I would say the breadth of managing large power has increased the opportunity, if you will. So I would say that is a tailwind in the business. We are a global leader on the technical side in managing large amounts of power in industrial spaces. So we have names on our customer list that we just would not have seen five years ago, and trying to do things that they were not trying to do five years ago in battery steels and high-strength steels and so forth, as well as new energy markets and things like that. So I do think that that is a particular tailwind. You know, I also think we have talked a lot about durable sales. We love our aftermarket business there. And we continue to reinforce and support what increasingly is a global effort to upgrade the industrial space. I know our team, including Pat here, was just in Europe. I mean, we are absolutely seeing green shoots in the reinvestment of the industrial space over there. Whether that means new facilities, which we do not see as much of there, but certainly upgrading old facilities. So I think those markets are continuing to show life globally.
David Joseph Storms: That is great color. I really appreciate that. And then maybe one more for me. You have mentioned a couple times now, we have talked about this in the past, the automation and information systems improvements. Just would love to get an update on how you think those are going, how much more runway you have there, and just any further thoughts on that.
Matthew V. Crawford: Yes. That is a great question. And we are attacking this piece in lowering our cost to serve on multiple fronts. And I say it a lot because it is really something we did not focus on as much when we were growing so quickly over the years. First, I will start with data management. Our efforts, enterprise-wide in some cases, but more often by the different segments, to invest in tools that begin with creating really clean data. A lot of people want to talk about AI, and we have some tremendous use cases going on both on the sales funnel side and on the productivity side. But the reality of it is the journey begins with really getting clean, usable data. So I am very excited at the strides we are making to manage data better and give the tools to our— I have talked a lot in the past about the strength of our management teams increasingly, and giving them the tools to have the visibility to do everything from manage pricing and manage cash flow and working capital the way that we discussed. The opportunity is huge, particularly in a business like Supply Technologies. So I would say that. I think on the automation side, we continue to attack vigorously costs in the business that a few years ago were not a big deal. So, for example, warehouse space. Warehouse space has been explosive in terms of costs. So opening up, as Pat mentioned, a new distribution center, a larger one, allows us to have increased volumes and velocity, which allows us to invest in automation tools. Our flagship fastener manufacturing facility up in Toronto just invested several million dollars in finishing and packing equipment. This is not just about doing things more cheaply; it is about doing more. So we are really looking at those kinds of investments too, which are not just robotics. They are about really stripping long-term costs out of the business model while growing. It is about productivity today, but it is really about getting the flow-through that we talked about on the next $100,000,000 in sales. And then lastly, you did not mention it, but I will. When we talk about durable sales at higher margins, the vertical integration piece, particularly in Assembly Components, we have a wonderful footprint in the U.S., Mexico, China, a global footprint, and with very competitive position products with tremendous know-how, and I think it is critical that we continue to invest in the whole value stream. So as we look at improving material science and mixing capabilities on the rubber side, this is going to be really important to controlling our value stream.
David Joseph Storms: Understood. Thanks for that commentary, and good luck in the next quarter.
Matthew V. Crawford: Thank you.
Patrick W. Fogarty: Thanks, Dave.
Operator: Thank you. Our next questions come from the line of Jim Dowling. Please proceed with your questions.
Jim Dowling: Two big picture questions. Pat mentioned the data center business running at a rate of $150,000,000. Could you expand that and give us your top five end markets across the entire company and what percentage of the total those top five might be? For example, steel, automotive, energy, etcetera.
Matthew V. Crawford: Well, I will take the least exciting one, Jim, because that will give Pat a second to think. You have known us when automotive, light truck and auto, was north of a third of the business. Today, I will give Pat a chance to think, but that number probably hovers closer to about 20%, a little over 20%. So we have meaningfully culled the herd, so to speak, and gotten rid of some business that was too focused, I think, not just on the automotive space, but too much on the North American automotive space, and I think also were more capital intensive. So we have moved out of those businesses today. While that is still our biggest market, I want to be very clear that that is a business that today not only is global in nature, we compete very successfully in Asia, for example, but also I think it is a business that is extremely well diversified into products where we either have IP or we have business process or hard assets that put us in a very, very durable competitive position. So that is still our biggest market. But we really like where we are relative to the customer mix and the products that we are supplying. And while we do not see it in the margins yet, Jim, that is probably our biggest opportunity, as we have repositioned that business and invest in that business for growth. Are we looking to be 50% or 40% or even 30% OE automotive? No. But we like where we are today, and we will continue to invest in those positions that we have great accretive margins.
Patrick W. Fogarty: Yeah. Jim, this is Pat. We are very fortunate to be a very diversified industrial company. Matt talked about the auto side of the business as that has decreased over the years. But within that block of business that we have, we are very diversified in terms of products, in terms of customers, in terms of the type of auto platform that we are providing our products to. Once you get beyond that, heavy-duty truck, semiconductor, power sports, steel, AI data center-related, electrical, oil and gas, are the top markets that would follow. And each of those individual markets do not represent more than 15% of our revenue base. So no one end market is really dominating our revenues. From that perspective, we are very diversified.
Jim Dowling: In broad terms, what percentage of the business is going for OEM application versus aftermarket?
Patrick W. Fogarty: I would say that Supply Technologies is 95% OE. Obviously, we do not always track perfectly what the OE does with that, because we do sell to their service arms too. So tracking exactly what goes into their service areas versus their direct OE business can be difficult. But you can think of that as primarily an OE supplier. I think on the aerospace side, even the MRO side, I guess, is still, in some cases, going into assemblers. I think on the automotive side, again, the vast majority is OE. We do sell aftermarket, both direct aftermarket on the extruded hose side. We also sell, obviously, to customers that use them as service parts. But, again, in both those cases, I would say that. I think on the equipment side and the forging business side, the equipment side is a bit more discrete in terms of their building capacity or improving capacity or investing in productivity inside their plants. And then the aftermarket, which is a $150,000,000 part of that business, is obviously all aftermarket. And that is, again, one of the exciting parts of the business model. So, while I would say in general the first two are largely OE-based, I think that the Engineered Products business is a bit more complex and skews a little bit more towards not being entirely OE.
Jim Dowling: Okay. Thanks. One last for me. How did China do last year versus the previous year?
Matthew V. Crawford: China continues to be a good market for us. We have, I think, in a couple different ways. First, I think that we have really reshaped— I talk a lot about allocation of capital. While we have invested less money— we generate cash in China, and we generate cash exporting cash out of China— we have really focused on the businesses we have there that we can be successful with. So the products we sell there today, the service and the customer we service, are often sometimes Chinese companies, but in most cases, global companies are looking for global partnerships. So that gives us a little buffer from a competitive standpoint. It is a tough market to do business in, no mistake. But it is a growing market. It is a market in which we have accretive margins. And, again, it is not one that we are necessarily pulling back from, albeit more often we will see that as a jumping off point for Southeast Asia and other areas of even faster growth.
Jim Dowling: Okay. Thank you.
Operator: Our next questions come from the line of Steve Barger with KeyBanc Capital Markets. Please proceed with your questions.
Jacob Moore: Hi. Thanks for letting me jump back in. I just wanted to ask about the other part of your strategy that I have not touched on yet, which is reshaping the portfolio. I know, Matt, you have talked about it a little bit already today, but I just wanted to ask you a little more directly. Is the current portfolio set of assets that you want to be in longer term?
Matthew V. Crawford: I think we are constantly tweaking and thinking about where we want to allocate capital. I think that we made the big moves over the last couple years. And I think I have often said I really like the businesses we are in. Each of them, I think, has real opportunity for growth. And not only growth, but durable growth at accretive margins. Having said that, I think that we are not operating at the highest level across the board. So we will continue to fine tune that as we go forward. But, again, I think that from a revenue perspective, the core businesses we have are fantastic.
Patrick W. Fogarty: Yeah, Jacob. We have discussed on prior calls, and I know Matt has highlighted, the allocation of capital strategy, that we are allocating capital to our best products, our highest margin businesses. And to the extent that there are businesses that are not going to get fed the same amount of capital, those are the businesses that we will make decisions on going forward. But right now, we are happy with where we are at.
Jacob Moore: That is really good color. Thank you. And then just the last thing from us, and it is maybe one for each of you. Pat, what do you see as the variables or watch items that could drive upside or downside to your 2026 outlook? And for Matt, what programs, initiatives, or trends are you most excited about this year and why?
Matthew V. Crawford: Those are some big questions, Jacob. So let me just comment and say I think that, as I mentioned earlier, we have a little better visibility this year going into the planning year. I would say, only half joking, that last year, pretty early in the year, the economic uncertainty and the specter of tariffs changed our ability to plan the business and made some of our business plans almost irrelevant by the end of the first quarter. So I think this year, a lot of the inventories that were really overbuilt or pre-bought or prebuilt at the beginning of last year, a lot of that inventory is cleared in some of our traditional markets. A lot of the transportation markets in particular. I am not talking auto. Some of the markets have been at historic lows. For example, the train market, and the track market. Some have been reasonably soft, the heavy-duty truck market. So there are a number of markets that we have some exposure to that have been sort of bumping along the bottom. So I think those businesses are in a position— those markets are in a position to stabilize, perhaps a little upside. That should allow us to benefit from some of the faster-growing areas of the business that Pat has recognized. What do I think the risk is? It is less, I think, on the customer side this year and more on the macro side. It is somewhat surprising to me that the markets, with the exception perhaps of the oil market, have been as calm as they have been. And most of our key customers have been insulated from that. But it is hard to imagine that an inflationary cycle that burns through this global economy, or here in the U.S., because of the ongoing war on two fronts, would not in some way impact our business. It may help on the aerospace and defense side, but it probably will create some challenges and some demand chaos as we saw last year. So those are a couple things we are thinking about. And that is one of the reasons we continue to invest well above our historic norms is because we want to be in a better position to respond to that kind of activity.
Patrick W. Fogarty: Hey, Jacob. This is Pat. To answer the question directed at me, obviously higher production levels in the end markets that we serve will drive higher levels of profitability. But I think more importantly than that, and because our guidance reflects where we think the end markets are going to be, better throughput of our products through our plants— whether that be in our capital equipment business; the more we can push through the plant, the more efficiently we push new equipment orders through our plant— will drive profitability. The same is true in our manufacturing plants in Assembly Components. The more efficient we become, the better absorption we are able to obtain, and the higher levels of profitability will result. And so those are the two areas that we are focused on, and that will drive any upside that we might see in our 2026 guidance.
Jacob Moore: Okay. Thank you very much. I know we had a lot for you today, so I really appreciate your help.
Matthew V. Crawford: No. Great. Thank you.
Operator: We have reached the end of our question-and-answer session. I will now hand the call back over to Matthew V. Crawford for any closing comments.
Matthew V. Crawford: Great. Thanks, everyone. Appreciate your attention and your patience as we transform this business going forward. Thank you. Have a great day.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.